Operator: Good day, ladies and gentlemen, and welcome to the ON Semiconductor Fourth Quarter 2017 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we'll conduct a question-and-answer session, and instructions will follow at that time. I would now like to introduce your host for today's conference, Mr. Parag Agarwal, Vice President of Corporate Development and Investor Relations. Sir, you may begin.
Parag Agarwal - ON Semiconductor Corp.: Thank you, Skylar. Good morning, and thank you for joining ON Semiconductor Corporation's Fourth Quarter 2017 Quarterly Results Conference Call. I'm joined today by Keith Jackson, our President and CEO; and Bernard Gutmann, our CFO. This call is being webcast on the Investor Relations section of our website at www.onsemi.com. A replay of this broadcast, along with our earnings release for fourth quarter of 2017, will be available on our website approximately one hour following the conference call, and the recorded webcast will be available for approximately 30 days following this conference call. The script for today's call and additional information related to our end markets, business segments, geographic channels and share count are also posted on our website. Our earnings release and this presentation include certain non-GAAP financial measures. Reconciliation of these non-GAAP financial measures to most directly comparable measures under GAAP are in our earnings release, which is posted separately on our website in the Investor Relations section. During the course of this conference call, we will make projection or other forward-looking statements regarding future events or the future financial performance of the company. The words believe, estimate, project, anticipate, intend, may, expect, will, plan, should or similar expressions are intended to identify forward-looking statements. We wish to caution that such statements are subject to risks and uncertainties that could cause actual events or results to differ materially from predictions. Important factors which can affect our business, including factors that could cause actual results to differ from our forward-looking statements, are described in our Form 10-Ks and Form 10-Qs, and other filings with the Securities and Exchange Commission. Additional factors are described in our earnings release for the first quarter of 2017. Our estimates may change, and company assumes no obligation to update forward-looking statements to reflect actual results, change assumptions, or other factors except as required by law. For all synergy-related discussion on this call, we have used Fairchild's 2015 results as the base for our comparison. During the first quarter of 2018, we will be attending Morgan Stanley Technology Conference in San Francisco on February 26. Now, let me turn it over to Bernard Gutmann, who will provide an overview of the fourth quarter 2017 results. Bernard?
Bernard Gutmann - ON Semiconductor Corp.: Thank you, Parag, and thank you, everyone, for joining us today. We delivered yet another quarter of strong financial results which exceeded our guidance and Street consensus on all metrics. Momentum in our business remains strong and our executions continues to be solid. Strong revenue growth in our key strategic markets accompanied by impressive margin expansion and robust free cash flow in the last many quarters, clearly demonstrate our market leadership and our strong execution. While we have made tremendous progress in 2017, we believe that a large part of potential for our model remains untapped, and we intend to make strong progress in 2018 towards our 2020 target financial model. We intend to drive meaningful margin expansion and free cash flow growth in 2018, driven by benefits from manufacturing synergies from Fairchild, above market revenue growth, and favorable mix improvement driven by growth in our automotive and industrial businesses. Our business remains strong, and indication from customers and macroeconomic data point to continuing strength in demand across most end markets and geographies in the near to mid-term. With a strong product portfolio and robust design win pipeline, coupled with tailwinds from increasingly favorable macroeconomic environment and a friendlier tax regime in the United States, we are very well-positioned to make significant progress towards our target model in the current year. We continue to focus on key metrics that drive shareholder value. During 2017, we generated free cash flow of $707 million, a little less than double of $371 million we generated in 2016. We expanded our non-GAAP gross margin by 200 basis points, and non-GAAP operating margin by 270 basis points in 2017. We intend to sustain our momentum in 2018, driven by increasingly favorable macroeconomic environment, strong customer acceptance of our products, and a solid execution on the operational front. As we have aggressively de-levered our balance sheet, we intend to reinitiate our stock repurchase program starting in the second quarter of 2018. Given our accelerating momentum in key strategic markets and our roadmap for margin expansion and free cash flow generation, we are very upbeat about our future outlook. And we believe that at current level, our stock offers a compelling investment opportunity. Along with deploying our capital for repurchase of our shares, we will continue to de-lever our balance sheet to mitigate the risk of higher interest rates resulting from stronger macroeconomic growth. In the first quarter of 2018, $129 million of debt is maturing, and we intend to use our free cash flow in the first quarter to pay down that debt. Moving on to taxes. We believe that the recently-enacted tax legislation is very favorable to us as it will enable us to repatriate our foreign cash at very attractive term after we exhaust our net operating losses and other tax attributes. Without the tax legislation, after the exhaustion of our net operating losses and tax attributes, we would have been required to pay tax at a rate of 35% to repatriate cash to the United States. The new tax legislation unlocks our ability to effectively deploy our foreign cash to generate value for our shareholders through capital returns and acquisitions. Based on our analysis of the available information on the new tax legislation, we anticipate that our cash tax rate will be approximately 10% until 2020. I must caution that as tax legislation was enacted only a month ago, our knowledge of new tax laws is limited and, therefore, our outlook for our tax can change as we get more clarity on the recently enacted tax laws. Now, let me provide you additional details on our fourth quarter 2017 results. Total revenue for the fourth quarter of 2017 was $1.378 billion, an increase of 9% as compared to $1.261 billion in the fourth quarter of 2016. GAAP net income for the fourth quarter was $1.22 per diluted share, as compared to $0.26 in the fourth quarter of 2016. Non-GAAP net income for the fourth quarter was $0.39 per diluted share, as compared to $0.29 in the fourth quarter of 2016. For the full year of 2017, our GAAP earnings per share was $1.89 and non-GAAP earnings per share was $1.46, as compared to GAAP earnings per share of $0.43 and non-GAAP earnings per shares of $0.91 in 2016. GAAP gross margin for the fourth quarter was 37.3%, as compared to 30.5% for the fourth quarter of 2016. Non-GAAP gross margin for the fourth quarter was 37.5%, an impressive increase of approximately 230 basis points over 35.2% in the fourth quarter of 2016. This strong year-over-year gross margin performance was driven by solid operational execution and revenue performance. Improving product mix also contributed to higher gross margin. With tailwinds from additional manufacturing synergies from Fairchild, mix improvement and portfolio optimization, we remain on track to achieve our target non-GAAP gross margin of 40% by 2020. GAAP operating margin for the fourth quarter of 2017 was 12.1%, as compared to 4.4% in the fourth quarter of 2016. Our non-GAAP operating margin for the fourth quarter of 2017 was 15.4%, an increase of approximately 250 basis points over 12.9% in the fourth quarter of 2016. On a year-over-year revenue increase of 9% for the fourth quarter of 2017, our non-GAAP operating margin increased by 30%. This strong operating income performance demonstrates the leverage and strength of our operating model. GAAP operating expenses for the fourth quarter were $348 million, as compared to $329 million in the fourth quarter of 2016. Non-GAAP operating expenses for the fourth quarter were $305 million, as compared to $281 million in the fourth quarter of 2016. Operating expenses for the fourth quarter were higher than the midpoint of our guidance due to higher revenue. This is preliminary, but our fourth quarter results include a one-time GAAP income tax benefit of $450 million as a result of the U.S. corporate tax reform enacted in December. This benefit include charges related to the mandatory repatriation tax and the re-measurement of deferred tax assets for the lower U.S. statutory rate of 21%, offset by a reduction in the company's deferred tax liability on unremitted foreign earnings. As a result of the tax reform, our estimate of the mandatory repatriation tax is $219 million. However, we can use $191 million of our existing U.S. tax credit carry-forward to offset the mandatory repatriation tax. After the use of our tax credit, the remaining cash tax payable of $28 million is payable over 8 years, with $2.3 million due in 2018. Fourth quarter free cash flow was $49 million and operating cash flow was $224 million. Capital expenditures during the fourth quarter were $176 million. Capital intensity based on non-GAAP revenue for 2017 was 7%. We exited the fourth quarter of 2017 with cash and cash equivalents of $949 million, as compared to $901.2 million in the third quarter. At the end of the fourth quarter of 2017, days of inventory on hand were 115 days, up 6 days as compared to inventory days at the end of the third quarter. The increase in inventory was driven by strategic build of inventory to support grant in certain automotive programs in the first half of 2018 and deliberate reduction in distribution inventory. Distribution inventory in days declined by approximately a week in the fourth quarter as compared to the third quarter. For the fourth quarter of 2017, our lead times were approximately flat quarter-over-quarter. Our global factory utilization in the fourth quarter was down slightly quarter-over-quarter. Now, let me provide you an update on performance by our business units, starting with Power Solutions Group or PSG. Revenue for PSG was $698 million. Revenue for our Analog Solutions Group for the fourth quarter of 2017 was $487 million. And revenue for our Image Sensor Group was $192 million. Now, I would like to turn the call over to Keith Jackson for additional comments on the business environment. Keith?
Keith D. Jackson - ON Semiconductor Corp.: Thanks, Bernard. We delivered yet another strong quarter, marked by solid all-around performance. Over the last many quarters, we've posted strong revenue performance, especially in our strategic end markets. At the same time, we delivered impressive margin expansion, robust free cash flow, and strong operating leverage. With strong momentum in our business and increasingly favorable macroeconomic conditions, we intend to make strong progress towards our 2020 target financial model in the current year. While 2017 was a spectacular year for ON Semiconductor, I'm very excited about our future outlook as we work to realize the full potential of our product portfolio and operating model. We believe that we're in the early stages of realizing benefits of our investments in the automotive and industrial end markets. Increased adoption of ADAS, EV and HEVs, Machine Vision, robotics, et cetera, should drive further acceleration in our revenue and margins. As I indicated in the earnings call for the third quarter of 2017, our business today is driven by sustainable secular growth drivers in the fastest-growing semiconductor end markets as opposed to being driven by macroeconomic and industry cyclicality a few years ago. Through our investments over the last many years in high-growth segments and in highly differentiated products in automotive, industrial and communications end markets, we have radically transformed the nature of our business. Customers are increasingly relying on us as a key provider of enabling technologies for newly-emerging and disruptive applications in automotive and industrial end markets. Along with strong revenue growth in our strategic end markets, we are delivering strong operating leverage driven by impressive margin expansion. As Bernard mentioned earlier, on the year-over-year revenue increase of 9% for the fourth quarter of 2017, our non-GAAP operating income increased by 30%. We intend to grow faster than the semiconductor industry, and this growth should enable us to expand margins driven by operating leverage. Insourcing of Fairchild's back end operations remain on track. And this insourcing should be a meaningful margin contributor in 2018 and 2019. At the same time, mix shift towards margin-rich industrial and automotive end markets, and ongoing divestiture of non-core businesses should drive additional margin expansion. The current demand environment continues to be strong, despite some softness in a few spots in the communications end market. We continue to see strong demand for our products for most end markets and for most geographies as customers are increasingly relying on us as their key partner in emerging disruptive technology such as ADAS, electric vehicles, factory automation, Machine Vision, cloud power management, artificial intelligence and industrial power management. Our traction in ADAS continues to accelerate, and we are further extending our competitive lead in the ADAS with new products, both for image sensors and processor power management. We have secured design wins for silicon carbide for electrical vehicles, and we remain on track for revenue in the latter half of this year. For the industrial end market, we are making strong progress in the Machine Vision and power modules with existing and new products. In cloud and server power management market, our traction with leading server CPU providers continues to accelerate, and near- to mid-term outlook appears to be very strong. Our USB Type C products are gaining traction in the automotive market, in addition to ramps in the smartphone and computing markets. Let me now comment on the business trends in the fourth quarter. During the fourth quarter, demand trends and bookings were strong. Supply-demand dynamics in the fourth quarter were stable as compared to supply-demand dynamics in the third quarter. Lead times were approximately flat quarter-over-quarter, and as Bernard mentioned in his prepared remarks, we significantly reduced distribution inventory levels from the third quarter of 2017. Pricing continues to be benign as compared to historic trends. Our customers are upbeat on demand for their products, and they expect the strength in demand to continue for the near- and mid-term. Now, I'll provide details of the progress in our various end markets for the fourth quarter of 2017. Revenue for the automotive market in the fourth quarter was $437 million and represented 32% of our revenue in the fourth quarter. Fourth quarter automotive revenue grew by an impressive 18% year-over-year. For the fourth quarter, we again saw strong broad-based demand for most product lines from most geographies. Our momentum in ADAS market continues to accelerate with strong demand for our 1 megapixel and 2 megapixel image sensors. We recently launched an 8 megapixel image sensor for ADAS, and with this launch, we are the only provider of complete line of 1-megapixel, 2-megapixel and 8-megapixel image sensors on a single platform for next-generation ADAS and autonomous driving systems. A complete line of image sensors on a single platform reduces qualification time, lowers costs for our customers, enables our customers to seamlessly port their algorithms across the product lines. We believe that our complete line of image sensors on a single platform provides us with a significant competitive advantage and further extends our technology lead over our competitors. A superior product portfolio complemented by a large installed base, deep and long-term relationships with leading ADAS and autonomous driving processor companies, our leading-edge technology, including self-correcting sensors with on-board cyber security and functional safety, and strong application support, has helped us strengthen our position within the ADAS and autonomous driving ecosystem. Based on inputs from our ecosystem partners, we believe that we are now the lead imaging partner for all ADAS platform providers. We further solidified our presence in the ADAS and autonomous driving ecosystem with our recently-announced partnership with Baidu. We were recently selected by Baidu as the sole supplier of image sensors for its Apollo Autonomous Driving Platform. As I mentioned earlier, our silicon carbide development remains on track. We are currently sampling products to customers, and we remain on track to generate revenue in the latter half of 2018. We are seeing ramps of our IGBTs and FETs for electric vehicle charger designs. We're working with leading ecosystem players on power management solutions for processors and other related applications in automotive. We recently announced a strategic partnership with Audi to drive electronics innovation and quality in upcoming autonomous electric vehicles. Business in other areas of the automotive market was strong as well. Our analog power management products reached record revenue, driven by active safety, powertrain, body electronics and lighting applications. We saw a strong growth in our LED lighting business as new programs ramped in Europe and China. Revenue in the first quarter for the automotive end market is expected to be up quarter-over-quarter. Industrial market, which includes military, aerospace and medical, contributed revenue of $358 million in the fourth quarter. The industrial end market represented 26% of our revenue in the fourth quarter. Our fourth quarter industrial revenue grew by a solid 17% year-over-year. Demand from industrial end market remains strong, driven by favorable macroeconomic conditions and secular trends such as automation, energy efficiency and Machine Vision. We expect recently enacted tax legislation in the U.S. to drive higher industrial capital expenditures in areas such as factory automation and Robotics, which, in turn, should drive demand for semiconductors for industrial applications. We continue to benefit from demand for our power modules and power management semiconductor solutions for power generation and commercial air conditioning. Our power module business for industrial applications continues to grow at a tremendous pace, and we expect this momentum to continue in 2018 as we launch new products with higher efficiency. In the Machine Vision market, we continue to make significant progress. We broke our record of shipments with our PYTHON line of image sensors in 2017, and we are in the process of launching a new platform of products to address a wider swap of the industrial market. The new Machine Vision platform will bring unprecedented levels of image quality, speed, pixel technology and price to the fast-growing Machine Vision industry. We continue to develop synergies with our expertise in the automotive imaging market to accelerate our growth in the Machine Vision market as both of these markets are driven by artificial intelligence and face similar challenges, such as low light conditions, dynamic range and harsh operating environments. In addition to growth from secular strength in the industrial end market, we expect to benefit from share gains. With expanded capabilities in power modules and with addition of Fairchild's portfolio, we have one of the most comprehensive portfolios in the market for the industrial power management. Customers are increasingly relying on us as a credible alternative to the current market leader. Revenue in the first quarter for the industrial end market is expected to be flat quarter-over-quarter. The communications end market, which includes both networking and wireless, contributed revenue of $268 million in the fourth quarter. The communications end market represented 19% of our revenue in the fourth quarter. Fourth quarter communications revenue declined by 4% year-over-year due to softness in certain geographies, but we offset a significant part of that weakness with increased penetration in other key global accounts. Revenue in the first quarter for the communications end market is expected to be down quarter-over-quarter due to normal seasonality. The computing end market contributed revenue of $139 million in the fourth quarter. Computing end market represented 10% of our revenue in the fourth quarter. Fourth quarter computing revenue grew by 6% year-over-year. The year-over-year growth in the fourth quarter computing revenue was driven primarily by ramps in our server business. Our server business continues to strengthen, and we expect that in 2018, our server business will be a meaningful part of our computing business. We are working closely with the leading server CPU providers on their next generation of processors. On the customer front, we are actively engaged on designs with cloud service providers and traditional server OEMs. In addition, we are in a leading position to provide power management solutions for accelerators that are increasingly being adopted for artificial intelligence and machine learning in server applications. Revenue in the first quarter for computing end market is expected to be down quarter-over-quarter due to normal seasonality. The consumer end market contributed $175 million in the fourth quarter. Consumer end market represented 13% of our revenue in the fourth quarter. Fourth quarter 2017 consumer revenue was up 1% as compared to consumer revenue in the fourth quarter of 2016. Revenue in the first quarter for the consumer end market is expected to be approximately flat quarter-over-quarter due to ramp of certain customer programs. In summary, demand for our products remain strong and our customers are upbeat about near to mid-term outlook for their businesses. We continue to deliver solid results, driven by strong execution on all fronts. Through our investments over the last many years in high-growth segments and in highly differentiated products in automotive, industrial and communications end markets, we've radically transformed the nature of our business. Customers are increasingly relying on us as a key provider of enabling technologies for newly-emerging disruptive applications in automotive and industrial end markets. With favorable macroeconomic tailwinds and a strong portfolio for industrial and automotive markets, we are well-positioned to make solid progress towards our financial target models in 2018. Now, I'd like to turn it back over to Bernard for forward-looking guidance. Bernard?
Bernard Gutmann - ON Semiconductor Corp.: Thank you, Keith. Based on product booking trends, backlog levels and estimated turns levels, we anticipate that total ON Semiconductor revenues will be $1.34 billion to $1.39 billion in the first quarter of 2018. For the first quarter of 2018, we expect GAAP and non-GAAP gross margin in the range of 36.4% and 38.4%. Factory utilization in the first quarter is likely to be approximately flat as compared to the fourth quarter 2017. We expect total GAAP operating expenses of $318 million to $336 million. Our GAAP operating expenses include the amortization of intangibles, restructuring, asset impairments and other charges, which are expected to be $28 million to $32 million. We expect total non-GAAP operating expenses of $290 million to $304 million. We anticipate first quarter GAAP net other income and expense, including interest expense, will be $33 million to $36 million, which includes non-cash interest expense of $8 million to $9 million. We anticipate our non-GAAP net other income and expense, including interest expense, will be $25 million to $27 million. Cash paid for income taxes in the first quarter of 2018 is expected to be $18 million to $22 million. We expect our 2018 cash tax rate to be 10% or lower. We expect total capital expenditure of $70 million to $90 million in the first quarter of 2018. We also expect share-based compensation of $18 million to $20 million in the first quarter of 2018, of which approximately $2 million is expected to be in cost of goods sold, and the remaining amount is expected to be in operating expenses. This expense is included in our non-GAAP financial measures. Our GAAP diluted share count for the first quarter of 2018 is expected to be 445 million to 447 million shares based on the current stock price. Our non-GAAP diluted share count for the first quarter of 2018 is expected to be 432 million shares based on the current stock price. Further details on share count and earnings per share calculations are provided regularly in our quarterly and annual reports on Form 10-Q and Form 10-K. With that, I would like to start the Q&A session. Thank you. And, Skylar, please open up the line for questions.
Operator: And our first question comes from Ross Seymore with Deutsche Bank. Your line is now open.
Ross C. Seymore - Deutsche Bank Securities, Inc.: Hi, guys. Thanks for letting me ask a question. First one is on margin leverage. You guys had a great year of margin expansion in 2017. Looking forward, do you expect the margin leverage to come more from the gross margin side or can you get some OpEx to revenue leverage as well? And then, overall, how flexible is your cost structure if revenue growth does slow on either the COGS and/or the OpEx side?
Bernard Gutmann - ON Semiconductor Corp.: So thank you, Ross. Yes, we do expect to see leverage also on the operating expenses. Our target model calls for a 21% operating expense level, and we are, in 2017, at 22%. So we should be gradually moving towards that. On the gross margin front, we have used the yardstick of about a 50% fall-through on incremental and decremental revenue, and we expect that that will continue. Furthermore, if times slowed down, we would also pull triggers such as moving outsourced production in-house to offset even further our impact of decremental revenue.
Ross C. Seymore - Deutsche Bank Securities, Inc.: That's great. And as my follow-up, I want to talk about the cash return side. You guys mentioned that you're going to start a share repurchase plan again in the second quarter. Talk a little bit about what led you to that decision, not only the leverage ratio hit, but cash returns coming as share repurchase versus dividends? And then, any color you have on the share repurchase plan; how much is outstanding, the duration of it, et cetera.
Bernard Gutmann - ON Semiconductor Corp.: So let me answer the last question first. The share buyback program we have, we have a little bit more than $600 million left between now and the end of 2018. That's the current approved program. We believe the value of our stock still presents a very strong opportunity for buybacks and, therefore, more towards share buyback than dividends. Having said that, we do have debt that matures and we intend to continue de-levering, especially in these rising interest rate times, to make sure we de-risk the balance sheet.
Ross C. Seymore - Deutsche Bank Securities, Inc.: Great. Thank you.
Operator: Our next question comes from Chris Danely with Citigroup. Your line is now open.
Christopher Brett Danely - Citigroup Global Markets, Inc.: Hey. Thanks, guys. Did the disties say why they were taking their inventory down for one week? And then what do you expect your inventory to do this quarter as well?
Keith D. Jackson - ON Semiconductor Corp.: So we work together with our distribution partners to get the lowest amount that they need to service their customers because, frankly, the extra revenue or the extra inventories there don't do either of us any good. So really, it's just keeping a good balance, making sure that they get the best use of their cash, and making sure we get the best use of the products that we've got. So, kind of mutual decision. In the first quarter, I would expect it to be relatively neutral from a change perspective.
Christopher Brett Danely - Citigroup Global Markets, Inc.: Okay. Great. And then I'll keep you on the mic, Keith. Can you just kind of give us your outlook on the various end markets for the rest of the year in light of what's going on in handsets? And how do you feel on the overall environment now versus, say, a quarter ago?
Keith D. Jackson - ON Semiconductor Corp.: Yeah. Actually, we're more encouraged on the overall environment. We know the biggest question people has is how long can it be good, but in speaking with our customers going into this year, there are some very strong expectations from automotive, industrial, and in all of the cloud-based and related markets. And so those appear to be quite strong and expecting some good growth. I think that will drive good growth this year on the macroeconomic side. Maybe not quite as good as 2017, but it should be upper or above mid-single-digits growth for the overall industry.
Christopher Brett Danely - Citigroup Global Markets, Inc.: Great. Thanks, Keith.
Operator: Our next question comes from Vivek Arya with Bank of America. Your line is now open.
Vivek Arya - Bank of America Merrill Lynch: Thanks for taking my question, and congratulations on the execution. Gross margins have been quite strong for a number of quarters now. Can you remind us what are the milestones from here to the 40% target? And then longer term, if all other semiconductor companies are exceeding their prior highs in gross margins, Keith, is there some magic line around 40% or do you think longer term, there is a potential to exceed that target?
Keith D. Jackson - ON Semiconductor Corp.: So I'll answer the first question, Vivek. The gross margin going forward, the improvements are the same as we laid out in our Analyst Day, slightly different flavors of them, but definitely, we first will be getting some nice tailwinds from the Fairchild insourcing throughout both 2018 and 2019. We will continue getting mix improvements as we grow faster in the better-than-average gross margin areas as industrial and automotive. We should also be getting the normal fall-through on incremental revenue. And as we mentioned, we continue doing portfolio management and potentially divesting from less-than-stellar performing operations.
Kevin Edward Cassidy - Stifel, Nicolaus & Co., Inc.: I'll cover the 40% model. The 40% model really was out there to give us a midterm target. There's no reason that should stop at 40%. Businesses that we service and continued mix improvements with revenue growth should easily take us into the mid-40s.
Vivek Arya - Bank of America Merrill Lynch: Got it. And as a follow up, on the exposure to electric vehicles or hybrid electric vehicles, can you remind us how much exposure you have today and how do you think it trends over the next one to two years?
Kevin Edward Cassidy - Stifel, Nicolaus & Co., Inc.: So it should be trending significantly higher as we get in more of the pure EV platforms and as they grow as a percentage of the total, particularly in China; looking at both the traction modules and in the battery charging modules, yet about another $200 per vehicle for that. So, should be very strong trends in latter half of 2018, and then 2019 and 2020.
Vivek Arya - Bank of America Merrill Lynch: And this is accretive to the model, I assume?
Kevin Edward Cassidy - Stifel, Nicolaus & Co., Inc.: Yes.
Vivek Arya - Bank of America Merrill Lynch: Thank you.
Operator: Our next question comes from Chris Caso with Raymond James. Your line is now open.
Chris Caso - Raymond James & Associates, Inc.: Yes. Thank you. Good morning. Just a question on utilization. Based on your comments, it sounds like it's running about flattish now, and it looks like your balance sheet inventory increased a little bit on what you said was automotive. Could you give a little more color on that and what you would expect for utilization rates, as well as your internal inventory going forward?
Bernard Gutmann - ON Semiconductor Corp.: So we're running, as I said, in the high-80s, and expect that to be about the same for the first quarter. Internal inventories, we were at 115 days. I expect that will trend flat to slightly down.
Chris Caso - Raymond James & Associates, Inc.: Okay. And just a follow-up with regard to pricing. Given fairly strong industry conditions, can you talk about what's happening with pricing now? What was the result of some of the annual price negotiations that I think you have around the beginning of the year and what that potentially means for pricing as the year goes on?
Keith D. Jackson - ON Semiconductor Corp.: Yeah. Clearly, the supply-demand dynamics are favoring focus on supply right now. Pressures on pricing were less severe, and in our annual negotiations, they were better than they were this time last year. So we are expecting to see some relief from our normal declines on annual pricing.
Chris Caso - Raymond James & Associates, Inc.: Thank you.
Operator: Our next question comes from Rajvindra Gill with Needham & Company. Your line is now open.
Rajvindra S. Gill - Needham & Co. LLC: Yes. Thank you. Just a quick housekeeping question. I was wondering if you break out the percentage of revenue by end market by business unit. So, for instance, if auto is generating about a third of your revenue, how much – what are the mix related to Power, Analog and Image sensor? And same thing for industrial.
Bernard Gutmann - ON Semiconductor Corp.: We don't break that out, but in general terms, I would say that the percent that's represented to a company level is not too far off at the group level.
Rajvindra S. Gill - Needham & Co. LLC: Okay. Got it. And on the USB-C adoption, we've seen some of your peers also indicate that USB adoption is starting to take off. I was wondering if you could describe some of the end markets where you're best positioned in USB-C. Is it smartphones? Is it the fast chargers? Is it PCs? And where do you think we are in terms of the attach rates overall in terms of those markets?
Keith D. Jackson - ON Semiconductor Corp.: Yes. So we've got very strong attach rates in the computing, fast charging and automotive areas. Penetration is still relatively low there. If you look at those markets, it's less than 10% overall, and we see that accelerating significantly in 2018.
Rajvindra S. Gill - Needham & Co. LLC: Great. And the last question for me in terms of the other growth driver in the business, you'd mentioned on the server power driving growth, $30 per server, expect that to increase. Wondering if you could kind of elaborate further on – you had mentioned in the past basically that, that could increase another $15 over the next couple of years on the new server platforms. So we're going from $30 going on up. So I'm kind of – where are we in terms of that dollar increase this year and next year? Thank you.
Keith D. Jackson - ON Semiconductor Corp.: So most of that will be occurring in 2019. We're still seeing a good ramp in both share and volume with the current platforms.
Rajvindra S. Gill - Needham & Co. LLC: Great. Thank you, and congratulations.
Operator: Our next question comes from Craig Ellis with B. Riley FBR. Your line is now open.
Craig A. Ellis - B. Riley FBR, Inc.: Thanks for taking the question, and I'll just stick with the server topic, but twist it the following way. Keith, you mentioned that you're seeing some good design-in activity on the accelerator side. Can you clarify if that's more on the GPU accelerators versus FPGA? And would that engagement activity include higher-end cards or is it more the server systems that are the replicants of the NVIDIA DGX and HGX?
Keith D. Jackson - ON Semiconductor Corp.: Well, we are seeing it across the spectrum in both areas. There might be slightly more momentum in the GPU side, but we're seeing it everywhere. And it's not just in the high-end modules. Again, it's very broad-based.
Craig A. Ellis - B. Riley FBR, Inc.: Thank you. And then I'll pitch the next one to both you and Bernard. You mentioned significant confidence in being able to make progress on the target financial model, and I think you've spoken well to revenues and gross margins. But can you talk in more detail about free cash flow? And, Bernard, what should we expect for CapEx this year on a full year basis?
Bernard Gutmann - ON Semiconductor Corp.: So free cash flow, what we have said is that we should be growing by about $100 million per year. So if last year, we had $700 million, it points to about $800 million. Our CapEx model is still the same, about 7% of revenue in total.
Craig A. Ellis - B. Riley FBR, Inc.: Thanks, guys. Good luck.
Keith D. Jackson - ON Semiconductor Corp.: Thank you.
Operator: Our next question comes from Vijay Rakesh with Mizuho. Your line is now open.
Vijay Raghavan Rakesh - Mizuho Securities USA LLC: Thanks, guys. Good quarter and guide yet. Just on the repurchase, cash return, just wondering how much is outstanding and how big is the authorization.
Bernard Gutmann - ON Semiconductor Corp.: The authorization was for $1 billion, and we still have in excess of $600 million left.
Vijay Raghavan Rakesh - Mizuho Securities USA LLC: Got it. And on the automotive side, I know you mentioned tailwinds with the silicon carbide and EV picking up in the second half. Are you guys supplying to all the big Chinese guys, BYD and CATL and all those guys? And does that keep the automotive growth – should you see that accelerate in the back half again? Thanks.
Keith D. Jackson - ON Semiconductor Corp.: Yes. So China customers are a significant portion of our design win base, and you should see that accelerate in the second half.
Vijay Raghavan Rakesh - Mizuho Securities USA LLC: Thanks.
Operator: Our next question comes from Shawn Harrison with Longbow Research. Your line is now open.
Shawn M. Harrison - Longbow Research LLC: Morning, and congrats on the results. First question, if I may. The communications weakness that you're seeing, is that solely smartphones or are you seeing weakness in base stations as well? And second to that, do you expect the market to be down year-over-year either for the first quarter or for 2018, given that it was down for the fourth quarter?
Keith D. Jackson - ON Semiconductor Corp.: For the total year, we don't expect it to be down in 2018. Q1 may be slightly down, but for the year, we're not projecting that. We do think the weakness was across the board, but perhaps a little stronger in the China handsets for 2017. We're not looking for that to repeat this year.
Shawn M. Harrison - Longbow Research LLC: Perfect. Then as a follow-up, the Fairchild synergy targets, which I think are about $40 million annualized for 2018, when will you start to see those benefits roll on in earnings? Is it the third quarter or is it the fourth quarter of this year when you'll see that ramp?
Bernard Gutmann - ON Semiconductor Corp.: It's actually – we should be seeing some in the second quarter of this year, and then grow gradually throughout the year.
Shawn M. Harrison - Longbow Research LLC: Thank you.
Operator: Our next question comes from Kevin Cassidy with Stifel. Your line is now open.
Kevin Edward Cassidy - Stifel, Nicolaus & Co., Inc.: Thank you. On the distributor inventory coming down, can you remind us what end markets are serviced by the distributors?
Keith D. Jackson - ON Semiconductor Corp.: All of our end markets are serviced by distributors. It's roughly 60% of our total business, and many of the OEMs use distribution as a service model in Asia for their manufacturing locations.
Kevin Edward Cassidy - Stifel, Nicolaus & Co., Inc.: Okay. So that does include the automotive?
Keith D. Jackson - ON Semiconductor Corp.: It does include automotive. Yes, it does.
Kevin Edward Cassidy - Stifel, Nicolaus & Co., Inc.: Okay. And maybe one other question on use of cash. Acquisitions, is that back on the table now that it seems the Fairchild acquisition is going through fairly smoothly?
Keith D. Jackson - ON Semiconductor Corp.: Yeah. I mean, obviously, we've been thrilled with the Fairchild acquisition. Acquisitions are certainly still a consideration. We'll look at, basically, return for our shareholders. And if there're opportunities, we're not shy. Right now, valuations look a bit expensive. But, certainly, we're open.
Kevin Edward Cassidy - Stifel, Nicolaus & Co., Inc.: Thank you.
Operator: Our next question comes from Tristan Gerra with Baird. Your line is now open.
Tristan Gerra - Robert W. Baird & Co., Inc.: Hi. Good morning. Given your expectation for internal inventories to be flat or continue to increase slightly in Q1, when do you think lead times have a chance to come back down given your sense that some customers will be comfortable with a little bit higher inventory levels than they currently have?
Keith D. Jackson - ON Semiconductor Corp.: Yeah. The lead time piece of the equation is really about getting capacities in place in excess of the market growth. We don't see that happening in the first half of this year, and it's unclear how much of it will happen in the second half as the entire industry continues to be very disciplined in putting in capital.
Tristan Gerra - Robert W. Baird & Co., Inc.: Okay. And then on the silicon carbide opportunity, how does the margin profile compare with the rest of your business? And then if you could also give us a sense of where it's going to be produced and the percentage of total output that you're eventually planning for silicon carbide?
Keith D. Jackson - ON Semiconductor Corp.: So margins there are significantly above corporate averages. We do manufacture the wafers in one of our offshore facilities. And so, we get pretty good margin profile from that.
Tristan Gerra - Robert W. Baird & Co., Inc.: Great. Thank you.
Operator: Our next question comes from Chris Rolland with Susquehanna. Your line is now open.
David Haberle - Susquehanna Financial Group LLLP: Hey, guys. It's David Haberle on behalf of Chris Rolland. Congrats on the continued solid execution. Just a follow-up really quick on the silicon carbide. Can you talk about the market in general and your availability to secure capacity? That's all done in-house with you, guys?
Keith D. Jackson - ON Semiconductor Corp.: So our manufacturing is done in-house, yes, all of it. The substrates, we do still procure on the open market, and we have long-term supply agreements there.
David Haberle - Susquehanna Financial Group LLLP: Got it. Thanks. And then, I guess, over the last year or so we've kind of noticed the percentage of distributor sales, as a percentage of your overall revenue, kind of creeping up from the low to mid-50s to now 60% this quarter. Is this a concerted effort by your team there and should we expect this trend to continue?
Bernard Gutmann - ON Semiconductor Corp.: No, this was mainly a result of Fairchild acquisition since Fairchild was heavier in terms of distie. But, fundamentally, we are happy with the current mix that we have.
David Haberle - Susquehanna Financial Group LLLP: Got it. Thanks, guys.
Operator: Our next question comes from Harlan Sur with JPMorgan. Your line is now open.
Harlan Sur - JPMorgan Securities LLC: Good morning, and great job on the solid execution by the team. Obviously, there seems to be some concerns around the cycle, peaking cycle, whatever. An indicator to me is always the breadth of the demand trends. You guys gave a lot of great detail on the strong design win pipeline. But just stepping back and looking at your business broadly from a geographical perspective, wondering if you could just talk about the year-over-year trends in all of the major geographies.
Keith D. Jackson - ON Semiconductor Corp.: Sure. We have seen very significant strength in Europe and the U.S. markets geographically. Those have been unusually strong after many years of being a little weaker than Asia. And then, secondly, China continues to grow extremely fast for us. And so, that part of Asia also has been quite good.
Harlan Sur - JPMorgan Securities LLC: Great. Thanks for the insights there. And your auto and industrial businesses are not the only segments that are outperforming; your compute business was up 6% year-over-year. And if I just layer on top the normal seasonal demand trends in the March quarter, it's going to be flat-to-up year-over-year here this quarter. You talked about the strong tractions in servers and cloud. Your content is growing. Data center CapEx is targeted to grow about 20% plus per year over the next few years. Are you guys kind of rethinking your long-term view that this business will be down 4% to 6% year-over-year from a longer-term perspective?
Keith D. Jackson - ON Semiconductor Corp.: Yes. Certainly, last year and, we believe, this year, it will outperform that, all driven by server revenues for the cloud. That is looking much stronger than we expected in offsetting declines in notebook and desktop.
Harlan Sur - JPMorgan Securities LLC: Great. Thank you.
Operator: Our next question comes from Mark Delaney with Goldman Sachs. Your line is now open.
Mark Delaney - Goldman Sachs & Co. LLC: Yes. Good morning, and thanks for taking the questions. I have two. First question is a follow-up on the distribution inventory. Can you elaborate a bit more on the reason that there was inventory that ON felt could come down in the distribution channel? And I ask just given lead times were somewhat extended and demand is good, so I was curious as to why there's maybe some extra in the channel.
Keith D. Jackson - ON Semiconductor Corp.: Yeah. It's just a continuous balancing, and you adjust to actual sales quarter-by-quarter. And as we got to the end of the year, it was just balancing out the inventory market-by-market.
Mark Delaney - Goldman Sachs & Co. LLC: Okay. That's helpful, Keith. And then, for a follow-up question, I was hoping you could elaborate a bit more on the sensor fusion opportunity that ON has been pursuing. I think it was about a year ago, ON did some purchases of radar assets from IBM, and I know it's been an investment focus for the company. So maybe you can help us understand the timeline for some of those types of solutions to be coming to market. Thank you.
Keith D. Jackson - ON Semiconductor Corp.: Yeah. We would expect those types of solutions to be coming at the market next year with – we're already working with sampling and modeling with our customers today, and it's really all about how do we make their algorithms as efficient as possible and get the best information for decisions with the least amount of data having to be transmitted. So we're actually getting a lot of good traction with the customers there, but it'll be 2019 before you see anything.
Operator: Our next question comes from Craig Hettenbach with Morgan Stanley. Your line is now open.
Craig M. Hettenbach - Morgan Stanley & Co. LLC: Yes. Thank you. Just had a question on the industrial strength in the quarter, up 17% year-over-year. And then, a lot of your peers have also reported strong industrial growth. Keith, as you look into this year, what's your expectation in terms of that settled down closer to kind of a GDP-plus or how are you feeling about industrial growth in 2018?
Keith D. Jackson - ON Semiconductor Corp.: No. For us, it should be significantly higher than GDP growth, on the order of 2X of that. We're still seeing a lot of traction in alternative power usage, Machine Vision, and automation for factories.
Craig M. Hettenbach - Morgan Stanley & Co. LLC: Got it. And then, just broadly by the end markets, the very strong growth in autos and industrial last year, and then comm and consumer a little bit weaker, which kind of match your longer-term model, any puts and takes as to how you're seeing the end markets evolve for 2018?
Keith D. Jackson - ON Semiconductor Corp.: I think nothing more significant than we've already stated. We actually talked about consumer being a little better than we expected. It would appear that the energy efficiency that we derive from our other market investments is spilling over and being adopted in the consumer side more robustly than we expected.
Craig M. Hettenbach - Morgan Stanley & Co. LLC: Got it. Thanks.
Operator: Our next question comes from Harsh Kumar with Piper Jaffray. Your line is now open.
Harsh V. Kumar - Piper Jaffray: Yeah. Hey, guys. First of all, congratulations, very good execution. Bernard, question for you. You, guys, were at 21.3% on OpEx levels already in September, and then it dipped up – or it went up a little bit in December. Should we expect you to be 21.3% or better for most of 2018 as you try to get some OpEx leverage? And then, I have one more question.
Bernard Gutmann - ON Semiconductor Corp.: So for the year, we're at 22%. Yes, with our peak revenue in Q3, we're at the lowest. We expect that will be trending down and get somewhere around 21.5% for the year. Some of it depends on actual individual circumstances like length of the quarter. But in the first quarter, we're guiding to 21.8%, so it's coming down at the midpoint.
Harsh V. Kumar - Piper Jaffray: Understood. Thank you. And for my follow-up, you, guys, do a lot of business with handsets in China. A lot of companies have talked about inventory there. Any views on how long that would last? And then, also, your consumer business is performing better than seasonal in March. And you talked about some energy efficiencies spilling over. Could you talk about the nature of these programs maybe for us?
Keith D. Jackson - ON Semiconductor Corp.: Okay. On the handset side, we would expect the first quarter to get a significant amount of the correction behind us in the handsets in China, so maybe more normal patterns in the Q2 and onward. From the consumer side, basically, the adoption of technologies, including things like USB Type C, are being picked up in consumer now, and also, most of the charging applications that we have for rapid charging and very energy efficient charging are picking up into the consumer side.
Harsh V. Kumar - Piper Jaffray: Thank you.
Operator: And our next question comes from John Pitzer with Credit Suisse. Your line is now open.
John William Pitzer - Credit Suisse Securities (USA) LLC: Yeah. Good morning, guys. Thanks for letting me ask a question. Keith, my first question is just around the Q1 guidance, the March quarter guidance. Typically, you talk about what percent of the guidance is in backlog. I apologize if I missed it. Do you have that number? And specifically, on industrial guiding flat, there's been quarters when industrial has been up in March. So how do you think about flat industrial in the March quarter relative to seasonal?
Keith D. Jackson - ON Semiconductor Corp.: Okay. The first question on backlog coverage, is at least as strong as normal. There's nothing of concern there. Relative to industrial, we had an extremely good Q4 we just came off of, and so we're being perhaps conservative in Q1. But we feel comfortable that, that market continues to perform.
John William Pitzer - Credit Suisse Securities (USA) LLC: That's helpful. And, Keith, as my follow-up, just on the computing opportunity, can you just remind us what percent of your compute business today is client versus server? And maybe help me better understand the server content story. How do you think about your dollar content in a traditional server versus maybe an accelerator or GPU-type application?
Keith D. Jackson - ON Semiconductor Corp.: Okay. So the first question, the compute piece for client versus server, the server piece is still less than 20% of our total. And so it represents a pretty small fraction of that. From a content perspective, the accelerators are kind of in the roughly $15 range for our content there, and then there's about $5 to $10 for the VCORE, which is common across all of them, and $25 to $30 for the power stage in the servers.
John William Pitzer - Credit Suisse Securities (USA) LLC: Thanks a lot. Appreciate it.
Operator: At this time, I'm showing no further questions. I'd like to turn the call back over to Mr. Parag Agarwal for closing remarks.
Parag Agarwal - ON Semiconductor Corp.: Thank you, everyone, for joining the call today. We look forward to seeing you at various conferences throughout the quarter. Goodbye.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This does conclude the program. You may all disconnect. Everyone, have a great day.